Operator: Welcome to the IBEX Fourth Quarter Full-Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question and answer session. [Operator Instructions] To note, there is an accompanying earnings deck presentation available on the IBEX investor relations website at investors.ibex.co. I will now turn this conference over to Mr. Michael Darwal, Head of Investor Relations for IBEX.
Michael Darwal: Good afternoon and thank you for joining us today. Before we begin, I want to remind you that matters discussed on today's call may include forward looking statements related to our operating performance, financial goals, and business outlook. Which are based on management's current beliefs and assumptions. Please note that these forward looking statements reflect our opinion as of the date of this call, and we undertake no obligation to revise this information as a result of new developments which may occur. Forward looking statements are subject to various risks, uncertainties, and other factors that could cause our actual results to differ materially from those expected and described today. For a more detailed description of our risk factors, please review our annual report on form 10-K filed with the US Securities and Exchange Commission on September 12, 2024. With that, I will now turn the call over to IBEX CEO, Bob Dechant.
Robert Dechant: Thanks, Mike. Good afternoon everyone, and thank you all for joining us today as we share our fourth quarter and fiscal year 2024 results. FY ‘24 was another transformative year for IBEX, where we achieved all time bests across a number of key financial metrics including EPS, net income, EBITDA Margin and free cash flow. We accomplished this in the face of evolving changes across the BPO market. With continued macroeconomic pressure and the excitement of Generative AI, we continue to demonstrate a unique ability to successfully compete and win against our much larger competitors. Our competitive advantage remains built around an unparalleled agent-first culture, with tremendous employee engagement. Paired with our Wave iX technology stack, where we are marrying cutting edge AI solutions and deep analytics. These attributes enable us to consistently outperform our competitors and provide compelling differentiators as we expand our sales pipeline and win new business. We have branded this as taking the IBEX challenge. Let me take a moment to highlight some of the key results we delivered in FY ‘24. We won 18 new client relationships in the fiscal year, primarily with leading retail, e-commerce, healthcare and gaming clients, up from 10 in the prior year. We achieved record EPS of $2.10, up from $1.96 last year. We continued the growth of our more profitable digital first services that operates primarily in our offshore and nearshore locations, delivering 77% of revenue in the fourth quarter, up from 74% a year ago in these regions. We delivered record free cash flow of $27 million versus $22.9 million in the prior year, and we ended the year with $61.2 million in net cash. We deployed our capital to repurchase 1.3 million shares at a cost of $21.7 million, reducing our shares outstanding by 8%. Although revenue was down slightly at 2.8% year-over-year to $509 million we were up slightly in Q4 year-over-year, which we view as an inflection point heading into fiscal year 2025. Looking back several years ago, we undertook a strategic journey of transforming IBEX into differentiated digital first company. We call this BPO 2.0 and in August of 2020 we IPO'd the company built around this strategy. Since then we have made tremendous progress as a company. In FY ‘20, IBEX had revenues of $405 million while adjusted EBITDA margins were below 10%. In the four years since, we have organically grown revenue more than $100 million or over 25% expanded adjusted EBITDA more than $25 million or 65% improved adjusted EBITDA margins 310 basis points retired virtually all of our debt on our balance sheet, continued to build an envious net cash position, built one of the finest rosters of clients in the industry and transformed our business to nearly 80% integrated omnichannel digital first from 65%. And in FY ‘24 we continued the evolution and further strengthening of our business by launching our suite of AI services, which we believe will continue to set our trajectory up in to the right. This momentum carried right in to our fourth quarter and into FY ‘25. Our Q4 was another strong quarter. Our BPO 2.0 clients grew at 3% and now represent 81% of our overall revenue, up from 79% in Q4 FY ‘23. Revenues in our highly profitable offshore and nearshore regions grew at 4% and now represent 77% of our overall business. As a result, EBITDA grew a healthy 16% versus prior year quarter to $17.9 million with a margin of 14.4%, up 200 basis points. We believe we hit an inflection point to returning to top line growth with revenue slightly ahead of prior year. I am excited to report that we ended the quarter winning our first significant customer facing AI deal, which will provide a new revenue stream for IBEX. At the core of IBEX remains our powerful new logo engine, where we continue to win high profile deals against strong competition. As indicated, we won 18 new client deals, nearly double that of the prior year Our ability to win spans across strategic verticals and geographies. As an example, in the gaming industry, a stronghold for several of our competitors, we had our first major win in Q4, winning and launching with one of the world's largest video game companies, providing technical support and account services from one of our nearshore markets with a fast follow expected in a new geography in early FY ‘25. This win presents an exciting opportunity for IBEX to grow and take share from legacy competitors in this vertical, much as we have done in recent years in the healthcare space. Additionally, our sales engine was able to win a very large deal servicing the Australia, New Zealand and Singapore regions. For a Fortune 500, displacing a large Australian competitor while beating out a multibillion dollar competitor, that has a large presence in the ANZA market. In June, we won our first significant customer facing AI opportunity with a major mobile carrier. We are delivering our AI automate, call automation solution where we are providing chat and voice bots for high volume, low complexity call types that will complement our live agent support and provide us an additional stream of revenue. These examples are great proof points in our ability to win on the big stage with great clients against our bigger competition. It is these types of solutions that give us tremendous momentum entering FY ‘25. Our ability to consistently drive optional excellence starts with our agents and their passion for working for IBEX and supporting our great client brands. We are extremely proud of the culture we have built, especially for our incredible agents who are the fabric of IBEX. I am excited to report that that our employee net promoter score reached a new high of 77, up 9 points from the prior year. We believe this is one of the highest in the industry. It is a testament to our commitment we all have at IBEX to create the best employee engagement in the industry. This in turn positions us incredibly well to outperform our competition and execute our land and expand strategy where we grow our market share. A great example of this is a highly strategic win with one of our top five clients whom we already service in five geographies to expand into a sixth geography. This represents a brand new offshore market for them, and a huge opportunity for IBEX in the coming years. Our track record of excellent performance, employee engagement, and the clients trust in IBEX all contributed greatly to what we believe will be a highly impactful long term win. Our award winning Wave iX customer facing solutions, AI automate, AI translate and AI authenticate are positioning us as a first mover. Where we are front and center with our clients, developing chat and voice bots to automate contacts. In addition to our recent win, we now have a pipeline of over 40 AI opportunities where we are continuing to get tremendous feedback from our clients that we are further along than any of our competitors in developing and taking to market these types of solutions. Being first to market also strengthens our relationship as a trusted partner. The traction we have and our speed to aggressively market these services provides exciting near term and midterm opportunities to create meaningful new revenue streams and growth opportunities for IBEX. We continue to make important investments into our long term strength and capabilities of the company beyond our AI initiatives. As an example, last summer we began the upgrade of our legacy ERP and HCM systems to an integrated workday solution and we are now nearing the completion, a testament to the talent of our leadership. We believe that this investment will strengthen our ability to run this business even more efficiently and at even larger scale. From a capital allocation standpoint, our strong financial position and balance sheet enabled us to execute on our share repurchase program while still achieving record year for cash flows and make the aforementioned investments. Further, it is enabling us to selectively evaluate M&A opportunities as a way to enhance both our solutions and our competitive moat, as well as accelerate our growth. Additionally, we will continue to selectively deploy capital expenditures in support of market growth in our off and nearshore regions as we have utilized much of the expanded capacity built out over the Covid-19 pandemic period. In summary, we are excited with the trajectory as we enter FY ‘25. We believe the business is positioned for a return to growth, continued strong EPS and free cash flow and one where we were ahead of the competition from an AI perspective. Our ability to win big with high profile brands is the staple of IBEX. We expect this to continue into FY ‘25 and beyond. With that, I will now turn the call over to Taylor to go in more detail on our '24 financials and guidance for FY ‘25. Taylor?
Taylor Greenwald: Thank you, Bob and good afternoon everyone. Thank you for joining the call today. In my discussions of our fourth quarter and fiscal year 2024 financial results references to revenue, net income and net cash generated from operations are on a U.S. GAAP basis, while adjusted net income, adjusted earnings per share, adjusted EBITDA and free cash flow or on a non-GAAP basis. Reconciliations of our U.S. GAAP to non-GAAP measures are included in the table attached to our earnings press release. Turning to our results, our fourth quarter results are among the strongest in our history. Fourth quarter revenue increased slightly from prior year to $124.5 million and we achieved record fourth quarter adjusted EBITDA, net income and EPS results. Revenue growth driven by our higher margin regions offset by lower onshore revenue as we successfully grew several of our strategic verticals. Our focused efforts to grow our higher margin nearshore and offshore delivery locations are having a favorable impact on bottom line results. Offshore, nearshore revenues now comprise 77% of total revenue versus 74% in the prior year quarter. Our lower margin onshore region decreased to 23% of total revenue versus 26% in the prior year quarter. Revenue mix continued to grow in our higher margin digital and omnichannel services as well. Digital and omnichannel delivery now represent 77% of our total revenue versus 75% in the fourth quarter a year ago. We expect that we will continue to be successful driving growth in these higher margin services. As Bob mentioned, we are seeing our pipeline, particularly in the higher margin services, strengthen, leading to an acceleration of new client wins. Fourth quarter net income increased to $9.8 million, up $4.5 million in the prior year quarter. The increase was primarily driven by the site and cost optimization efforts completed over the past year. The continued growth of work in higher margin offshore locations during the fiscal year 2024 and lower income tax expense. Fully diluted EPS was $0.56, up over 100% from $0.24 in the prior year quarter. Contributing to the EPS growth was the impact from fewer diluted shares outstanding as a result of our ongoing share repurchase program. diluted shares for the quarter were $17.6 million versus $19 million one year ago. Moving to non-GAAP measures, adjusted EBITDA increased to $17.9 million, or 14.4% of revenue from $15.4 million, or 12.4% of revenue, for the same period last year. The 200 basis point improvement in adjusted EBITDA margin was primarily driven by the site and cost optimization efforts completed over the past year and the growth of work in our higher margin offshore locations during fiscal year 2024. Adjusted net income increased to $10.2 million from $6.2 million in the prior year quarter. Non-GAAP fully diluted adjusted earnings per share increased to $0.58 from $0.33 in the prior year quarter. The increases were driven by the higher EBITDA as well as lower taxes and fewer diluted shares outstanding due to our ongoing share repurchase program. As a company, we're pleased with the client diversification we've established over the last several years. For the fourth quarter of fiscal year 2024, our largest client accounted for 12% of revenue and our top 5, top 10 and top 25 client concentrations declined slightly compared to the prior year to 36%, 52% and 78% respectively of overall revenue. Representative of a well-diversified client portfolio. In addition, we ended the fiscal year with 55 clients billing at over $1 million per annum and 27 clients billing at over $5 million per annum, both consistent with prior year, exemplifying the success of our ability to service large material clients across vertical industries and geographies. We service these top clients on average across 2.3 geographies while having significant opportunities to further expand our footprint and lines of business with clients. Switching to our verticals, retail and e-commerce increased to 24% of fourth quarter revenue versus 22.3% in the prior year quarter, driven by continued growth in multiple offshore geographies and our continued ability to win significant new clients in this vertical. HealthTech increased to 13.9% from 13.5% and travel, transportation and logistics increased to 14.8% of fourth quarter revenue versus 12.4% in the prior year quarter. Conversely, our exposure to telecommunications vertical decreased to 14.5% of quarterly revenue versus 15.1% in the prior year quarter. Additionally, fintech decreased to 13.7% of revenue for the quarter versus 16.5% in the prior year quarter, impacted by the changing landscape for some client payment support models and geographic shifts from onshore to offshore delivery. Moving on to our fiscal year 2024 results, revenue decreased 2.8% to $508.6 million compared to $523.1 million in the prior year, largely due to the year-over-year migration of delivery from onshore to higher margin offshore regions. Macroeconomic conditions providing headwinds, particularly in the first-half of the year, and external factors impacting the fintech and telecommunication verticals partially offset by growth in the retail and e-commerce, HealthTech and travel, transportation and logistics verticals. The strength of our 18 new client wins across all our key verticals partially offset the above headwinds and position us for a return to growth in fiscal year 2025. Similar to the fourth quarter, the growth of delivery in our higher margin nearshore and offshore regions throughout the year had a meaningful impact on revenue, as onshore revenues, which comprised 24% of our total revenues during the fiscal year, declined 16% and nearshore and offshore revenues, which comprised 76% of our total revenues, increased 2.5% versus the prior year, with the growth coming particularly in our offshore region. The macroeconomic headwind, which I mentioned earlier, contributed to longer client sales cycles and impacted near term revenue growth and had a more prominent impact during the first half of the fiscal year. Fiscal year 2024, net income increased to $33.7 million versus $31.6 million in prior year. The increase was driven by higher gross margins, higher interest income, and lower taxes. The increase in interest income is due to higher income from invested funds. The decrease in tax expense was due to a lower effective tax rate in the current year compared to prior year, which was primarily attributable to changes in the revenue mix across our taxable jurisdictions and discrete items recorded in the prior year. Our tax rate for fiscal year 2024 was 18% compared to 22%. As we move into fiscal year 2025, we expect our tax rate to be slightly over 20%. Moving to non-GAAP measures for the full year, adjusted EBITDA decreased to $65.2 million or 12.8% of revenue compared to $66.6 million, or 12.7% of revenue for the prior year. Despite the aforementioned factors impacting our historical growth trends, adjusted EBITDA margin increased slightly, primarily due to the site optimization efforts completed over the past year and the migration of clients to higher margin offshore locations. Adjusted net income increased 4% to $38.4 million compared to $36.9 million in the prior year. Non-GAAP fully diluted adjusted earnings per share increased 7.1% to $2.10 compared to $1.96. The increase in adjusted net income and non-GAAP fully diluted adjusted earnings per share was driven by improved gross margins, increased interest income, and lower income tax expense. EPS also benefited from the lower share count due to our repurchase program. Net cash generated from operating activities was $35.9 million for fiscal year 2024, compared to $41.9 million for fiscal year 2023. The decrease in net cash inflow from operating activities was primarily due to a higher use of working capital. Our DSOs were 72 days, up from 63 days at the end of last year and in line with industry, average. DSOs increased this year as an early pay discount was ended with one of our larger clients early in the fiscal year, and the fourth quarter end for the full-year ended on a Sunday. We expect our DSO to remain stable on a go forward basis. Capital expenditures were $8.9 million, or 1.7% of revenue for fiscal year 2024, versus $19 million, or 3.6% of revenue in the prior year. As we continue to utilize our available capacity from build outs completed in previous years, free cash flow improved to a record $27 million in the current year, up from $22.9 million in the prior year. The increase is due to decreased capital expenditures during the fiscal year ended June 30, 2024 as we utilize capacity built out over the last two years, partially offset by a decrease in net cash inflow from operating activities due to the higher DSO. We ended the fourth quarter with $62.7 million in cash, up from $57.4 million as of June 2023. Net cash was $61.2 million, up from $56.4 million as of June 2023. The increases in cash and net cash were due to our record free cash flow, partially offset by a significant increase in share repurchase activity. For fiscal year 2024, we repurchased over 1.3 million shares, or roughly 8% of our outstanding shares for $21.7 million, of which 197,000 shares were purchased in the fourth quarter for $3.1 million. We have $27 million remaining to repurchase under our current share repurchase program, which was approved on May 1, 2024. To summarize our 2024 fiscal year, our intentional pivot toward digital first services several years ago continues to drive record financial results enabled by the ongoing growth of these high margin services and geographies, we're seeing operating performance improvement across all our regions. In the last half of fiscal year 2024, we delivered an adjusted EBITDA margin of 14.8%, placing IBEX among the top performers in our industry. Our record year of generating free cash flow has put us into an ideal position to continue to invest in our infrastructure, advanced AI capabilities, and our sales and marketing to accelerate future revenue growth. Importantly, it has also enabled us to execute meaningful share repurchases, representing approximately 8% of our shares outstanding to return value to our shareholders. We view this most recent quarter as an inflection point for return to top line growth, we remain confident in the trajectory of our business. Looking ahead to fiscal year 2025, revenue is expected to be in the range of $510 million to $525 million. Adjusted EBITDA is expected to be in the range of $67 million to $69 million. For the first quarter fiscal year 2025, revenue is expected to be in the range of $124 million to $126 million. Adjusted EBITDA is expected to be in the range of $14.5 million to $15.5 million. Capital expenditures for the year are expected to be in the range of $15 million to $20 million. Our business is well positioned for today in the years ahead, and we're excited about the future of IBEX as we head into fiscal year 2025 and beyond. With that, Bob and I will now take questions. Operator, please open the line.
Operator: Thank you. [Operator Instructions] Our first question comes from David Koning with Baird. You may proceed.
David Koning: Yes. Hey, guys, nice job getting back to what seems like more normalized sequential patterns to revenue and really good margins.
Robert Dechant: Yes, thanks, Dave. We were really proud of the -- what the team did this back half of the year, and in particular Q4.
David Koning: Yes, yes, well, and I guess, when we put in perspective, like guidance, guidance is still a little below kind of normal trends. You know, I assume that's mostly macro driven, I'm kind of wondering like if we think of three buckets, you kind of have the macro environment, like how are you looking at that relative to kind of normal market share? How are you seeing yourself in terms of market share? And then how do you see Gen AI and you put those three together to drive kind of your forecast, I assume. But can you kind of just go through each of those buckets and how that's affecting your forecast?
Robert Dechant: Sure, Dave. And in addition, I think you nailed it. But there's probably one other variable, that variable would be the new logo engine, which is a key driver for us. But when I think of the macro in the second-half of the year, I think we started seeing volumes starting to move a little bit up into the right, which was encouraging for us. Now, if you recall, we built in this big part of our business, 80% of our BPO 2.0 clients, digital first, et cetera. When we did the analysis first those -- that part of our business is continuing to grow and has been growing, and it's been offset by still some shrinking with some of the legacy clients, that's now a small part of our business, but that's where the shrinkage has really come. As we looked at the year, and so as we look at '25, we feel that telco element will flatten out a bit. This past year, one of our key clients lost a big NFL contract. And so that caused some subscriber churn and some volumes down. So we think that we have a good handle of the kind of the base and the macro, and we feel relatively -- conservatively confident that we have good visibility and that will have a little bit of growth to that. So we're excited about that, the second element, as you touched on, is market share. The performance that we have inside our base is outstanding, which is giving our team a hunting license to go leverage that. I shared that big win we had with one of our largest clients into a completely new geography that they've never been in. And that was driven by the confidence they have in our ability to go execute for them in new markets. And that's one example of what we're seeing. So I feel, I feel really good about that. And then that new logo engine to me is one of those areas that has always been a strength of IBEX, we saw really, throughout the course of the whole fiscal year, our ability to win, execute and win really strong brands. And the win I wanted highlighted that we had in Q4 of a major gaming client. Look, we went, there are several of our competitors that that's their core of their business, we went head, you know, head to head against them and won. And that's something that you're just really proud of, you're able to go into their backyard and beat them. And so you put all of that together. You know, we feel pretty good about that general trend. And then the last piece, Dave, you touched on AI, and we see AI as an opportunity, and we're winning deals and we have a huge pipeline where it'll be a new source of revenue while we're leveraging our chat bots, voice bots that will go and automate and take what we think is market share away from our competitors, that it's their voice calls and they're, you know, that, that will come over to us and so we're, we're really excited about all of those elements and putting that together for, you know, hopefully a great FY ‘25.
David Koning: No, that's a -- that's great to hear. And then I guess my follow-up question, one of the key highlights, I mean, I guess a couple of the key highlights. One is margins keep going up and, you know, maybe how sustainable is that, is there anything, maybe one off this year and both in 2024 and 2025 or is that just scale, et cetera? And then I guess buybacks are the other kind of thing, that's a big highlight. Is that going to continue? I think you're a 3 times EBITDA, I've almost never seen that in my career, especially for a company growing margin. So maybe those two things too?
Robert Dechant: Yes. Hey, Taylor, do you want to -- why don't you take the margin discussion?
Taylor Greenwald: Yes, no, absolutely. And David, we do have the ability and we will continue to improve margins. I think next year, if you look at our guidance, you'll see some improvement over fiscal year '24. I think we're what 12 -- 7, 12, 8 in fiscal year '24 and we should be in the low 13s in fiscal year '25 and we see that margin improvement continuing a few trends are going to help us continue this over the next few years. I think the first big lever is the fact that we continue to grow our most profitable, you know, geographies and services and AI will contribute to that as well, where the services and agreements that we're signing are going to come with higher margins. So that's going to help drive us forward, economies of scale and operating leverage, we're still a relatively small player with, you know, a significant infrastructure for a public company that doesn't need to scale at the same rate as our revenue. So I think we'll see leverage with growth that's going to drive our margin. And then in terms of some items that maybe put a little pressure on the margin going forward. Yes, this business always has wage pressure, we do a very good job with Colas in our contracts and negotiating price increases, but that's something we always did keep our eye on. And also we are going to continue to invest in business. We want to continue to grow. So, you saw that in fiscal year '24 where we're investing our infrastructure and a new ERP system, financial system, technology resources and sales resources, and we're going to continue to balance those investments as well, so that we'll get -- set, we manage our business with ongoing margin improvement while we're still making investments in the business. If that answers the question. Ultimately, I think in the next few years, our goal would be to get to 15% EBITDA margin for the full-year and not just the back half of the year.
David Koning: Yes. Thank you, guys. That's great.
Robert Dechant: And David, did we answer your -- you had a Part B of that question, I think was on the share buyback. But maybe if you could just restate that question if you want.
David Koning: Yes, it was a long question. Sorry.
Robert Dechant: Yes.
David Koning: Yes, just if you're going to continue, I mean, you have a lot of net cash. Is the plan to kind of study buybacks continuing?
Robert Dechant: Yes, it is. You know, we look, we have, I think, $27 million still to go on our latest, you know, announcement. You know, a total of $30 million have a long way to go. And so I think as we think about our capital allocations, that's one use we have done a really good job of filling up a lot of that capacity we built out over the COVID years when we were doubling our CapEx because of social distancing, if you recall. I think we'll see ourselves continue to do build outs this year, kind of, let's say restart build outs in our offshore regions that will spend a little bit of CapEx dollars on that. And then lastly, I'll just say we intentionally in this past year, put our focus not on M&A, but on AI. And we really wanted to make sure we were pushing and being first mover in the world of driving AI solutions. And we didn't want to get distracted by going down and spending a lot of time in M&A and then a lot of time in integration. And if you look at that, we're further ahead than anybody in AI. So we're really, we think that was a smart thing. But now that we have that in this real strong free cash flow generation, I think we're now at the point where we can look at and say, what are the things, what are the geographies, what are the areas that we can invest in that we can look to be acquisitive in to help us, you know, strengthen our business and accelerate growth. And so, you know, again, that's kind of how we're looking at '25.
David Koning: Yes. Great. Thanks, guys.
Operator: Thank you. This now concludes our call for today. I would now like to turn it over to Bob Dechant for any closing remarks.
Robert Dechant: Hey, Josh, thank you and appreciate everybody's time and listening to this. As you can tell, we're really excited about the business, the quarter mostly, and just want to highlight, so proud of the team that delivered this and will continue to deliver for you guys as we move into FY ‘25. So thank you all and we'll talk to you next quarter.
Operator: Thank you. This concludes the conference. Thank you for your participation. You may now disconnect.